Operator: Ladies and gentlemen, welcome to the Adler Group Q3 2025 Results Investor Conference Call. I am Valentina, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Julian Mahlert, Head of Investor Relations and Communications at Adler Group. Please go ahead.
Julian Mahlert: Thank you, Valentina. Good morning, everyone, and thank you for joining us for the Adler Group Q3 2025 Results Call. Speakers today, as usual, are our CEO, Dr. Karl Reinitzhuber; and our CFO, Thorsten Arsan. Both will lead through today's presentation and then answer your questions. Also, please note that this call is being recorded and will be made available on our website, where you can also find today's presentation. For me, today will be my last results call with you as I am leaving Adler Group by the end of November after 6 eventful years. I have always appreciated working with you, and it has been an honor to be part of this great team. As such and with great confidence, I will hand over my responsibilities to my successor, Sven Doebeling, our Head of Finance, whom some of you already know. You will find his contact details on the last slide of the presentation. And with that, I'll hand it over to Karl.
Karl Reinitzhuber: Good morning, everyone, and thank you, Julian. Thanks, Julian, for your knowledgeable and effective handling of your role as Head of Investor Relations. It has been instrumental in securing a smooth and dependable communication for Adler Group. Now before we start with the Q3 numbers, let me give you an overview of our recent asset disposals on Page 4. As communicated before, in the third quarter, we fully completed the disposal of our North Rhine-Westphalia portfolio holding entities. We exercised the put option in order to transfer the remaining 10.1% stake in the respective propcos to the buyers, Orange Capital Partners and One Investment Management. The closing occurred in August and the net proceeds of EUR 21 million were fully returned to the investors of our first lien. We also continue to make good progress on the disposals of our development projects. In the third quarter, we executed and completed the transactions of Cologneo III and The Wilhelm in Berlin. The net proceeds were also returned to the first lien holders. We have made further significant progress with additional disposals post the Q3 balance sheet date. First, we notarized the sale of the Holsten Quartier to a Hamburg consortium consisting of Quantum and HanseMerkur Grundvermögen in cooperation with the Hamburg-based housing provider, SAGA, at Q2 2025 book value. We expect the transaction to be completed in the first quarter of '26. We are very pleased with the sale of this project, which with its exceptional size and location in Hamburg is obviously one of the most prominent projects in our portfolio. Second, we sold the Kaiserlei development project in Offenbach to the Frankfurt housing association, ABG. Closing of this transaction is expected for early '26, if not earlier. And third, we have signed the sale of the Düsseldorf-based development project, Benrather Gärten, to Instone Real Estate at Q2 2025 book value. We expect the closing of this transaction by the end of this year. And we expect more signings before year-end or in Q2 2026. We'll then inform and alert you on this. Now as we experienced good momentum in the disposal of our developments, let me elaborate a bit on the market environment for residential development and new building in Germany. My perception is that the framework for resi developers has somewhat stabilized over the recent months and a higher degree of certainty and less fear of adverse changes in the market prevails. The average price for new residential units in Germany is up around 3% compared to last year. The time to market for sale of condo units is slowly but steadily decreasing. I could witness in some of our development sales processes that the municipalities are increasingly supportive to enable residential developments and acknowledge the more challenging environment for financially successful projects compared to 4 or 5 years ago. Construction costs seem to flatten and bank financing has come through for the buyers of our projects. All buyers of Adler developments will now engage in zoning and permitting processes and will then execute construction themselves. There is no buyer with speculative intent behind the acquisition of the project or land plot. Now all of this is not to say that we expect significant uplift in the pricing of our remaining developments over the coming year, but we have proven that we can sell even complex assets like Wilhelm in Berlin or Kaiserlei in Offenbach to experienced and well-financed buyers in what continues to be a challenging market. Now I attribute our ability to do all these transactions also very much to the excellence and tenacity of our sales team, which works closely with the best local brokers. We run very focused and competitive sales processes and execute on transactions once we have reached the best possible outcome. Now in terms of smaller yielding asset sales, we continued the disposal of our noncore assets in Eastern Germany, thereby reducing the remaining units from 162 down to 117. Further disposals of these noncore assets are in the pipeline. We also took the opportunity to dispose 32 condominium units in Berlin for a total sales price of EUR 9 million. With EUR 245 million, our disposal holdback basket remains almost fully filled, unchanged versus 3 months ago. Now moving on to Page 6. On the financials, our net rental income came in at EUR 101 million for the first 9 months. Compared to the prior year period, net rental income decreased as a result of the disposals of BCP and the North Rhine-Westphalia portfolio. The decrease was partly compensated by rent increases realized on the remaining assets. We are well on track to reach our 2025 net rental income guidance in the range of EUR 127 million to EUR 135 million. The adjusted EBITDA from rental activities amounted to EUR 58 million with a margin slightly improved compared to last year. The adjusted EBITDA total was negative as the development segment did not contribute positive earnings. As more and more development projects are being sold and the organization is becoming smaller, the negative financial impact from the development business will become smaller as well. Our group's equity position stands at EUR 0.9 billion. The LTV increased slightly to 73.5%, in line with our expectations. Our cash position amounts to EUR 241 million. Thorsten will provide more color on financials later in the presentation. Our portfolio, overall, our Berlin anchored assets continued its strong operational performance, fully in line with what we have seen throughout the year. We achieved 3.2% like-for-like rental growth on a year-to-year basis. This was supported by an increase on current rental contracts and ongoing reletting activities. We have a closer look at all KPIs on the following slides. Then let's proceed to portfolio and operational performance on Page 8. At the end of September 2025, we had 17,695 rental units. It's a marginal decrease of 77 units compared to June, driven by the disposals in Q3, which I mentioned before. As a reminder, our portfolio is fully Berlin anchored with more than 99% Berlin assets. Only 117 units are located outside of Berlin, and we expect to sell these units within the coming quarters. In terms of value, the GAV of our yielding portfolio remained stable at EUR 3.5 billion. This reflects no change from the prior period as there were no revaluation and only limited disposals during the third quarter. The GAV per square meter increased slightly to EUR 2,847, up from EUR 2,843 in Q2. Let's now move on to Page 9 to further discuss our operational KPIs. We achieved 3.2% like-for-like rental growth year-on-year. This is lower than the 4.1% we reported last year, which is explained by the timing of Mietspiegel-related adjustments in 2023 and 2024. As expected, we realized like-for-like rental growth well in our target zone of around 3% per year. Rent increases for almost 3,000 rental units became effective in the third quarter. Over the last 12 months, we have increased the rents of 50% of our residential units, therefore -- thereof half CPI indexed and half Mietspiegel-based leases. The rental growth of 3.2% is a healthy and sustainable level that reflects increases on our current rental contracts as well as ongoing reletting activities. We are confident to report a rental growth number north of 3% at the year-end 2025. Our average rent increased from EUR 7.71 per square meter per month reported a year ago to EUR 8.52 in September 2025. This growth is largely driven by the disposal of the North Rhine-Westphalia portfolio, which had structurally lower rents compared to our Berlin assets. These units were still included in the prior year figures. On a like-for-like comparable basis, the average rent grew from EUR 8.24 to EUR 8.52 per square meter per month. Turning to vacancy. Our operational vacancy rate remains at a very low level of 1.6%, slightly down from 1.7% a year earlier. This confirms the continuous demand for rental apartments in Berlin, driven by continued population growth and the very limited new housing supply. Now I would like to hand it over to Thorsten, who will talk -- walk you through the financials, starting on Page 11.
Thorsten Arsan: Thank you, Karl, and also a warm welcome from my side. At the end of September 2025, our yielding portfolio was valued at EUR 3.5 billion and our development portfolio at around EUR 700 million based on externally appraised values. This brings our total GAV to EUR 4.2 billion, slightly down from EUR 4.3 billion at the end of June 2025. This change was primarily driven by the disposal of the 2 development projects, Cologneo III and The Wilhelm, both of which were signed and transferred to the respective buyers during Q3 as stated earlier. In yielding assets, there was a slight decrease in value resulting from disposals of 45 of the remaining rental units based in Eastern Germany and 32 condominium units in Berlin. These disposals reduced the GAV only marginally. Also in the GAV overview, we marked the value of the Offenbach Kaiserlei project down to the notarized sales price level. With that, all development projects, which were sold post the Q3 balance sheet date are reflected with the agreed price within our Q3 financials. Let's now move on to the financing section on Page 12. Let me briefly walk you through the debt repayments update. As you know, we continue to use the ongoing inflow of disposal proceeds to deleverage our capital structure. Over the last -- over the past quarter, we made further partial redemptions under the first lien New Money Facility, returning a total of EUR 87 million to investors of the first lien notes. These repayments were fully funded by asset sales, both smaller yielding asset disposals in Berlin and completed development project sales. And there is more in the pipeline in terms of expected net proceeds when looking at the recently signed more sizable project disposals such as Holsten Quartier, Offenbach Kaiserlei and Benrather Gärten, which we expect to close in the coming months, if not weeks. Turning to the 2026 maturities. The remaining EUR 50 million Adler Real Estate bond falling due in April 2026 is expected to be repaid from additional disposal proceeds in line with the New Money Facility. We also successfully completed the extension of a EUR 9 million secured bank loan, extending the maturity from March 2026 to Q4 2028. This is another good example of constructive discussions with our lending banks, especially where assets in Berlin provide strong collateral. For the remaining EUR 19 million of 2026 bank maturities, discussions are ongoing. These are standard bilateral talks with the respective lenders. And based on the tone so far, we expect to reach prolongation agreements well ahead of maturity. Overall, the picture remains unchanged. With the continuous inflow of disposal proceeds and the supportive dialogue with the banks, the 2026 maturity profile is largely addressed, and we remain focused on reducing the first lien facility with further disposal proceeds. Let's now move on to Page 13 and take a look at our current debt KPIs. Following the further partial redemption of the first lien New Money Facility in Q3, our total nominal interest-bearing debt decreased to EUR 3.7 billion, down from EUR 3.8 billion in June. Our LTV increased slightly to 73.5% as we had expected. The weighted average cost of debt remains unchanged at 7.1% at the end of September, and our average debt maturity is around 3.6 years with the vast majority of our financing maturing only in 2028 or later. Let me add one minor update on the ratings. Based on our request, S&P withdrew its rating on the remaining Adler Real Estate 2026 notes. There is no obligation to maintain this rating. And given the very small outstanding nominal amount, we decided to discontinue it for reasons of cost efficiency and structural simplification. All other ratings, including the issuer rating of B- with stable outlook remain unchanged. Let's turn to the debt maturity schedule on Page 14. The debt maturity picture looks largely unchanged compared to 3 months ago. As told in the last quarter, there is no outstanding financial debt maturity this year. Looking ahead, our next significant maturity is in 2026, where we have a total of EUR 42 million due, comprising EUR 15 million of the remaining Adler Real estate bond maturing in April '26, which is expected to be repaid using disposal proceeds. EUR 9 million of the remaining EUR 27 million of bank debt were already extended after the end of Q3, leaving EUR 19 million with maturity not before October 2026. Discussions with the lenders of the 2026 bank maturities are ongoing, and we are confident that these will be addressed well ahead of maturity. As you can see on this slide, 97% of our financial debt matures only in 2028 or beyond. Let's turn to the LTV on the next page, Page 15. As anticipated, the LTV increased this quarter by 140 bps points, mainly due to the usual impact from interest expenses, both paid and accrued. Other movements such as CapEx expenses for our yielding and development asset portfolio can be out with various smaller effects. As always, as a reminder, kindly notice that our bond covenant LTV with a threshold of 90% is calculated differently, leading to a lower figure than stated here. Let's continue with cash on the next page, Page 16. At the end of the third quarter, our cash position stood at EUR 241 million, in line with our expectations. As you might know, we invest our cash holdings usually in money market funds and call money in order to generate interest income. You see the development of the cash position in the usual format on this slide. On the cash inflow side, we realized proceeds from various disposals as discussed earlier. Yielding asset disposals include proceeds from the second closing of the Cosmopolitan transaction as well as from condominium and smaller asset sales. Development asset disposals include proceeds from completed sales of the Cologneo III and The Wilhelm development projects. These proceeds were largely returned to the investors of the first lien notes. The net decrease in our cash position resulted primarily from capital expenditures spent on our development assets, particularly construction activities around our forward sales projects, Ostforum in Leipzig and LEA in Frankfurt. And with that, back to you, Karl.
Karl Reinitzhuber: Thank you, Thorsten. Let me now conclude this presentation with some final remarks. We confirm our guidance of a net rental income between EUR 127 million to EUR 135 million for the full year 2025. Experts see a moderate improvement in the residential real estate market. Last quarter, standing assets were perceived moving ahead, driven by strong rental growth. As I mentioned earlier, we now see a stabilization and soft improvement in the activities around developments in new building. We are able to capture rental growth with our strong 3.2% like-for-like growth, in line with our expectations, and we confirm our net rental income guidance for 2025. On the back of recent guidance provided by our peers, we expect a stable revaluation result for our Berlin portfolio for the full year 2025. When it comes to the disposal of our development projects, we are making good progress as a credible and trustable partner, for example, with our successful disposals in Hamburg, Offenbach and Düsseldorf. We do not face any material maturities of capital market indebtedness before the end of 2028. Just as Thorsten said, 97% of our financial debt matures only in 2028 or beyond. It goes without saying that we remain focused on our comprehensive cost-cutting programs and budget discipline to ultimately preserve our liquidity position. And with that, I'd like to thank you for dialing in. We are now looking forward to your questions. Julian, back to you for the Q&A.
Julian Mahlert: Thank you, Karl and Thorsten. And I hand it over to our operator, Valentina, to open the Q&A, please.
Operator: [Operator Instructions] The first question comes from Emmanuel Arnoldi from Barclays.
Emanuele Arnoldi: A quick question. I couldn't hear the comment that you made on the Holsten development asset in relation to the price. And if you didn't do any comment, please just say so, in relation to the book value. And I wanted to ask, and it's the same question really, if we should take the -- I think it's EUR 289 million value for current -- noncurrent assets held for sale as a proxy of the sum of the prices for all these assets where you signed a document, but you haven't -- or a purchase agreement, but you haven't yet closed the disposal.
Karl Reinitzhuber: Okay. Well, we do not publish the pricing for individual assets, but we can -- what we can say on Holsten is that we sell it at book value. And well, yes, with the EUR 289 million comprising the assets that have been sold, but where the process is not closed, you're quite right on that.
Emanuele Arnoldi: So it would be the Holsten, the Kaiserlei, the other one that I was -- forgot how it's called...
Karl Reinitzhuber: Holsten, Kaiserlei, Düsseldorf and we still have, yes, Schwabenland Tower, [ Cologneo III. ] Yes. That's what it is.
Thorsten Arsan: Emanuele, you are right. I mean the EUR 289 million are mainly the developments that we've signed and not closed yet. Offenbach is not included because that's something we basically signed after Q3, but all other developments are mainly comprising the EUR 289 million.
Karl Reinitzhuber: Okay. Yes. So to be -- let's say, to be complete, right, we also have Grand Central, Eurohaus and UpperNord Tower within the EUR 289 million.
Operator: [Operator Instructions] The next question comes from Antonio Casari from Northlight Investment Services.
Antonio Casari: First of all, thank you very much to Julian and best of luck for your next endeavor. It was really helpful, the dialogue with you. And then my question is regarding the regulation. A few of your peers talked about this Bau-Turbo that is going to be put in place and clearly has been in line with what you mentioned at the beginning of the presentation, but it would be interesting to have your perspective around that.
Karl Reinitzhuber: Okay. It was a bit difficult hearing you, but I understand your question is around the Bau-Turbo, right?
Antonio Casari: Yes. Yes, sorry.
Karl Reinitzhuber: Yes. What I can say from my observation in the disposal processes of our developments and the interaction with municipalities is that a number of municipalities are thinking about using the Bau-Turbo on some of our disposal projects, at least for a part of the intended buildings within the project. I have not seen Bau-Turbo yet, but I would expect that over the course of the coming year, we would see the first examples, particularly there where, let's say, the expected zoning for residential buildings is very clear and undisputed and where the municipalities do not have to expect any, let's say, criticism from within the political environment in the city or from neighbors or other stakeholders around these projects.
Antonio Casari: Great. And then the second question relating to your forward sale and condominium, you mentioned a book value of EUR 0.2 billion. I assume the list is only the 3 projects that are listed in Slide 31, which has expected completion in 2026. So my question is, do we expect monetization of all of them in 2026? And how much would be the cash proceeds from the disposal since with forward sale and condominiums, there's a portion, I understand that is paid as the project advances.
Karl Reinitzhuber: Yes. Well, I cannot tell you, let's say, the individual expected cash-ins or the pricing. But what I can say is that on Ostforum, this will be disposed over the course of '26. and we will then eventually receive the full proceeds at closing. Now it is slightly different with the 2 other projects with Hoym in Dresden, there have been -- this one has been presold, and we have received progress payments from the buyer so that there would be still a rather small cash value coming in going forward. And in the LEA at Frankfurt, there out of 165 apartments, a bit less than 150 apartments have been sold. And progress payments have been received. There are further progress payments to be received from these 150 owners over the course until completion, and we will sell the remaining around 15 apartments once the construction and the building is fully completed.
Antonio Casari: Perfect. Very clear. But just to be clear, the EUR 0.2 billion book value reflects the expectation of what in total you should cash in from forward sale and condominiums?
Karl Reinitzhuber: Yes. This is, let's say, the gross value of these assets at this point in time. The cash from the received progress payments has not been netted at this point or in this number.
Operator: The next question comes from Niki Kouzmanov from Jefferies.
Niki Kouzmanov: Can you guys hear me?
Karl Reinitzhuber: Hear you well.
Niki Kouzmanov: Great. Just on -- I think I wanted to ask more on the cost savings and G&A optimization and CapEx optimization and the cash balance that we have at September, which is quite elevated and the upcoming, as you mentioned, the additional disposal on the development side, which is going to further pay down the first lien. I think the 1.5 lien has a noncore until February. Are there any sort of plans or thinking about refinancing and further optimizing the capital structure, especially if some of the CapEx for these developments, specifically the condominiums is going to disappear once the projects are completed? And then probably in relation to that, I think you referred to some early signs of warming up of the yielding transaction market in Berlin. But how are you thinking about your -- I think last -- at the last call, you mentioned you're doing sort of a soft marketing exercise to look at the value of the units in Berlin and how they could be disposed of. Kind of these 2 things hand in hand together, is there any progress or update you can provide us on?
Karl Reinitzhuber: Yes. Well, first on your question, what we are doing with regard to our Berlin portfolio. As I said, we are assessing our options and no decisions are taken at this point in time, but we are working on it, but there is not more I can say with regard to your first question. Thorsten?
Thorsten Arsan: Thank you. Niki, I can basically touch or answer your question regarding the potential refinancing. I mean, with EUR 3.7 billion of total debt and a weighted average cost of debt slightly above 7%, I mean, it's our utmost duty to always assess whether there are opportunities to refinance more attractively than currently. There are no specific plans right now. I mean you know we refinanced the 1L and the 1.5L in the first half of this year. As said, we are assessing all kind of opportunities, but there are no specific plans right now.
Operator: [Operator Instructions] Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Karl Reinitzhuber for any closing remarks.
Karl Reinitzhuber: Yes. Thanks, everyone, for joining today. We will publish our 2025 annual report on April 30, 2026, and the respective results presentation will take place on the same day. Thorsten and I look forward to speaking to you then. All the best for everyone. We close the call.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.